Operator: Good morning and welcome to the Core Molding Technologies Fourth Quarter and Full Year 2021 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I'll now like to turn the conference over to Sandy Martin, Investor Relations, please go.
Sandy Martin: Thank you operator and good morning, everyone. We appreciate you joining for the Core Molding Technologies conference call to review fourth quarter and fiscal year results for 2021. Joining me on the call today are Core Molding's President and CEO, Dave Duvall, and the company's EVP and CFO, John Zimmer. This call is also being webcast and can be accessed through the audio link on the events and presentations page of the investor relations section at coremt.com. Information recorded on this call speaks only as of today, March 8, 2022. So please be advised that any time sensitive information may no longer be accurate as of the date of any replay or transcript reading. I would also like to remind you that the statements made in today's discussion that are not historical fact, including statements or expectations or future events or future financial performance or forward-looking statements made pursuant to the Safe Harbor provisions of the private securities litigation reform act of 1995. Forward-looking statements by their nature are uncertain and outside of the company's control, actual results may differ materially from those expressed or implied. Please refer to the earnings press release that was issued today for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in details in the company’s filings with the Securities and Exchange Commission. Management may also refer to non-GAAP measures including adjusted EBITDA reconciliation to the nearest GAAP measures can be found at the end of our earnings release. Core Molding Technologies assumes no obligation to publicly update or revise any forward looking statements. Finally, the earnings press release we issued earlier today is posted on the investor relations section of our website at coremt.com A copy of the release has also been included in an 8-K submitted to the SCC. And now I would like to turn the call over to the company’s CEO Dave Duvall. Dave?
Dave Duvall: Thank you Sandy and good morning everyone. I first want to thank our over 1600 team members of Core Molding Technologies throughout Canada, Mexico and U.S. for their hard work and dedication that made 2021 a successful year. I recognize and appreciate their commitment to excellence in a challenging environment over the last two years. We've made significant progress in executing our strategy and deserve to be proud of what we have accomplished. I firmly believe that the organization's culture is a competitive advantage and it is a foundational component of our business strategy. We strive to create a positive and rewarding work environment that is based on our foundational values of transparency for trust, mutual respect, courage to challenge and being a learning organization. As part of our continued strategy to engage our existing shareholders and educate future shareholders, this marks an important step for us and that this is our first earnings conference call for Core. I want to start by welcoming our existing investors and as a courtesy for those looking at CMP for the first time, we will provide a quick overview of our company. Then I will discuss our 2021 successes in the fourth quarter and for the fiscal year. And then turn the call over to John to review the Q4 and full year financial performance in more detail. Then I'll come back and wrap up the call with progress on our longer term strategic goals and outlook. And we're not planning to take questions on this initial call. However, we look to do this on future calls. We are headquartered in Columbus, Ohio with growing sales throughout the United States, Canada and Mexico where our leading engineered materials company providing manufactured solutions serving a wide variety of markets, including power sports, medium and heavy duty trucks, building products, industrial products, utilities and automotive. One key area of change for our business model that I'm excited about is our technical solution sales team that works directly with our customer's engineering team to optimize a solution by converting traditional materials to engineer materials. This approach has proven successful and is enabled by course, large portfolio of processes. I will talk more about that in a few minutes. Core Molding is a leading engineer materials and manufacturing solution company with large diverse customers and expanding industries. We currently operate six strategically located manufacturing facilities, three in the U.S., two in Mexico and one located in Canada. This broad geographic footprint allows us both reach and capacity to operate closer to our end customers. Our market analysis identifies with large total addressable market of over $15 billion. We have a limited number of competitors and given our 42-years in business, we believe that our experience, significant investment in equipment, as well as our large portfolio of processes creates a distinct economic moat around our business. As I mentioned earlier, an exciting growth driver for Core is through our technical solution sales team and approach by partnering with customers into developmental phase and understanding of their current challenges, we can develop optimized application solutions, utilize our large portfolio of engineer materials and advanced modeling techniques. Our goal is always to provide the customer with a unique and optimized solution, utilizing our properties or engineered materials to convert traditional materials and designs into an application solution that provides higher performance, light weighting and part consolidation at a lower cost. Over the last several years, we have developed and/or acquired one of the largest portfolios of processes, a total of eight different and distinct processes, which enables a unique solutions approach for our customers. I believe this is a distinct competitive advantage and industries we strategically serve. Our company continues to foster long-term relationships with Blue Chip companies like UFP Industries, serving the building products industry, Navistar, PACCAR and Volvo serving the heavy duty truck industry. In addition, we built our reputation on excellence at BRP and Yamaha in the power sports market throughout North America. These relationships have been integral to our business and we will continue to work towards long-term collaborative relationships with each strategic partners as well as the many other customers we serve. Revenue growth and diversification are key components of our long-term strategy and in 2021, we successfully added $75 million of new wins over 80% of which is reoccurring annual revenues. These new wins consists of 13 different programs two of which were launched in 2021 and the remainder will be launched in 2022 and 2023. This new business further diversifies the company's revenues by expanding our business and markets, including industrial utilities and packaging, as well as power sports. It's an exciting accomplishment to achieve $75 million in new wins, which represents over 26% of our full year product sales in 2021 makes us even more excited about the company's prospects for 2022 and beyond. We see a continuation of diversification efforts as we grow the business and currently have a defined pipeline of over $160 million. Turning now to our financial results. Fiscal 2021 was a good year for the company. We reported record 2021 sales of $307 million and increase of 38% from 2020. Also net sales compared to 2019 pre-pandemic levels were up 8% demonstrating that despite the market disruptions experienced in last two years, we continue to be able to expand our business. Fourth quarter sales were also strong up 21% to $73 million compared to prior year. Our continued focus to offset the impact of raw material inflation resulted in us successfully shifting the company back to profitability in the fourth quarter. As you will recall, we reported significant and rapid raw material inflation in the third quarter that continued into the fourth quarter of 2021 and like most companies we currently anticipate inflation to continue in 2022. However, we have added raw material surcharge arrangements to all but one of our long-term customers and are currently having productive discussions with that one customer as well. We believe that the combination of the surcharge arrangements, as well as adjusting pricing for new programs should allow us to return closer to historical margin levels, although we don't know when the labor market and supply chain constraints will ease, we have adapted and are managing through the disruptions I believe as well or better than most. Now I'll hand it over to John Zimmer, our CFO to discuss the financial results.
John Zimmer: Thank you, Dave. And good morning, everyone. Fourth quarter of 2021 net sales totaled $73.2 million up 21% versus a year ago. And product sales increased 16% versus the prior year period. The increase sales were largely driven by sales from new programs, sales from utility and power sports customers, as well as raw material recoveries. Gross profit for the fourth quarter of $8.5 million or 11.6% of sales was down from $10 million or 16.4% of sales in the prior year quarter. The decline in the fourth quarter margin was primarily due to the impact of raw material inflation. Excluding the impact of raw material inflation and related revenue recovery fourth quarter 2021 gross margin would have been 16.6%. That said we responded quickly to an intense second half inflationary headwinds and return the company to profitability in the fourth quarter which gives us competence as to the resilience of our hardworking teams. In the fourth quarter, we improved our raw material inflation recoveries but still have not been able to fully offset the impact. For the fourth quarter we estimated unrecovered raw material inflation to be approximately $2.2 million which is approximately $1.2 million less than the unrecovered raw material in the third quarter. As Dave mentioned, we are pleased to report that we successfully collaborated with several of our customers who we have not previously recouped raw material increases from to implement raw material surcharges starting in the first quarter of 2022. These arrangements should provide for additional raw material recovery levels in 2022. Selling, general and administrative expenses for the quarter were $6.5 million an improvement from $6.9 million in the prior year period. In the fourth quarter, the company returned to operating income of $2 billion, a sequential improvement from the third quarter operating loss of $2.4 million. As a reminder, third quarter operating loss included a charge of $2.3 million to transition profitable product worked and ultimately close the Batavia Ohio facility by December 31, 2021, which we successfully accomplished. As we explained last quarter, this facility consolidation simplifies our footprint, transitions, profitable business to other locations, exit certain products that do not fit into our long-term strategy and eliminates ongoing operating losses at this location. This plant consolidation took a significant amount of coordination and work and we want to thank the entire Batavia plant team for their hard. Fiscal 2021 fourth quarter net income aggregated $441,000 or $0.05 per share compared to the 2020 fourth quarter net loss of $867,000 or $0.10 loss per share. Adjusted EBITDA for the 2021 was $4.7 million compared to $5.9 million for the prior year. You can find the GAAP to non-GAAP reconciliation of adjusted EBITDA financial measures at the end of today's press release. Full year 2021 net sales totaled $307 million, up 38% versus the same period prior year and product sales increased 35% versus the prior year period. This is the first time the company has surpassed annual sales of more than $300 million which is due to the strong demand we were experiencing from both existing and new customers. Our revenue diversification strategy continues to pay off with product revenues for 2021 originating from several industries, including 40% truck, 21% power sports, 16% building products and 10% industrial and utilities. Just over five years ago the heavy duty truck industry represented more than 80% of our product sales. Gross profit for the fiscal year was $41.3 million or 13.4% compared to gross profit for 2020 of $34.5 million or 15.5%. Similar to the third and fourth quarters of 2021 full year gross profit margins were under pressure and 210 basis point decline was mostly due to raw material cost inflation and a tight labor market. With this in focus, we successfully accelerated the renewal of an important labor agreement at our Columbus facility that was scheduled to renew in August of 2022. This new labor contract will provide our customers with stability and assurance of uninterrupted supply. Selling, general and administrative expenses for the year were $30.3 million, an increase of $6.2 million from the prior year primarily due to the facility closing costs of $2.3 million as well as increases in payroll expenses and travel costs compared to full year 2020 expenses were impacted by COVID-19 cost reduction programs. 2021 selling, general and administrative expenses excluding the facility closure costs were $28 million, which was in line with selling, general and administrative costs in 2019 prior to COVID. For the fiscal year 2021, the company reported operating income up $11.1 million, an increase of 6.7% compared to the operating income of $10.4 million in 2020. Excluding the facility closure costs the company added operating income of $13.4 million approximately 4.4% of sales. The company had a return on capital employed of 8.5%, which is consistent with 2020. Fiscal 2021 net income aggregated $4.7 million or $0.55 per share compared to net income of $8.2 million or $0.98. Full year adjusted EBITDA for the fiscal 2021 was $26.6 million compared to $22.6 million for the prior year. And although inflation compressed the adjusted EBITDA margins in 2021 our longer term goal is to achieve adjusted EBITDA margins in the double digit range in the future. You can find the GAAP to non-GAAP reconciliation of adjusted EBITDA financial measures at the end of today's press release. Turning now to the company's financial position, cash flow and balance sheet. The company's cash provided by operating activity is totaled $12.5 million for the 12 months ended December 31, 2021 and capital expenditures for the fiscal 2021 were $11.6 million. In 2021, we invested $5.3 million in capital, primarily in a new 5,500 ton direct long fiber thermoplastic system in our Matamoros Mexico facility. This is the largest press the company now owns and doubles the company's direct long fiber thermoplastic capacity and Matamoros’ facility. We expect the system to be fully operational in the second quarter of 2022. For fiscal year, 2022 we expect capital expenditures to be in the range of $14 million to $16 million with plans to continue to invest in technologies and materials to grow our capabilities in the industry breath. At December 31, 2021 the company had total liquidity of $26 million consisting of $6 million of cash and $20 million of availability under our revolving credit facility and the company has a long-term debt of $25.2 million at year end. As of the end of the quarter, our net debt to trailing 12 months EBITDA ratio was less than one times adjusted EBITDA. We believe our strong balance sheet and ample liquidity provides us flexibility and resiliency needed to manage through the next phase of supply chain constraints or inflation pressures as well as to allocate a prudent amount of capital for growth. Even our successful completion of business transformation a few years back, we were focused on and believe in Core strategic growth prospects in 2022 and beyond. Then another way we were bullish on the company's opportunities and recognize that our business and processes are undervalued on a current, multiple of trailing 12 months of the adjusted EBITDA. Dave and I believe that engaging current investors and educating new investors along with an intentional investor targeting strategy will be the best path forward for growing long-term shareholder value. With that, I would like to turn the call back over to Dave.
Dave Duvall: Thank you, John. We remain absolutely focused on continuing to execute our long-term strategic plans and we have positioned our company to continue our growth. Our technical solution sales are winning in new industries and we continue to invest in our people, engineering capabilities and assets as we drive to improve every single day. We will continue to invest in our ability to innovate and provide technical solutions and product conversions that result in lighter weight, lower costs, higher performance products for our customers. We will continue to concentrate on new industries, especially in the industrial and utility sectors as more people work where they want to live in both suburban and rural settings where improved infrastructure is needed. Most importantly, we will continue to invest in our team members on our path to being a great place to work. As many businesses are also doing, we are carefully considering the infrastructure bill and the related spending that's expected to accelerate in many areas. We believe that decision-makers of infrastructure investments will be evaluating products and processes and our engineering material solutions are already supporting our customers in reducing the installation costs by converting traditional materials to a lighter weight, more durable composite solution. Our low cost, lightweight and durable engineering materials with our technical solutions team are ready for rapid deployment into new infrastructure projects. Turning to our acquisition strategy. Our goal over the past several years has been to diversify our processes and materials, which has been successful in further enabling our technical sales approach and creating unique multi-material solutions. Our large portfolio of engineered material processes has evolved and expanded to a total of eight distinctly different processes, which we're able to combine to create an optimized solution for our customers, essentially composites or compost. The significant advantage to this strategy is it allows Core to provide solutions in industries that have not traditionally taken advantage of multiple materials in one solution. An example of where material diversification evolves our expansion into thermoplastic products, which offers sustainability advantages over thermoset materials, because they're recyclable. We want to be good environmental stewards and strive to offer our customers more environmentally friendly products. In fact, we have partnered with the Ohio City Council and [Arboreal] Research Lab to develop bio-based thermoset residence for the thermostat industry. Seven years ago Core offered thermoset solutions only. And today, approximately 50% of our business operates using thermoplastic solutions. In addition to product expansion, we have also expanded our geographic footprint with over 30% of our sales coming from Canada. Our significant growth has occurred over relatively short timeframe because we made strategic acquisitions that have added to our processes, materials and footprint. This growth has been intentional and strategic as can be seen by our $75 million in new business wins. We will also continue to evaluate our business portfolio to identify low profit products and evaluate improvements or exit strategies for those products. We believe the continued execution of our long-term strategic goals will position a company for further stability and profitable growth in the future. We see a bright future ahead for Core Molding Technologies and we're excited to continue growing the company, continue growing our good corporate citizenship and delivering value for our shareholders and all stakeholders. Thank you for your interest in our company. If you have questions, please contact us directly or follow up meetings. Our contact information is on the release or website. Have a good day, and we look forward to providing an update of our progress when we report first quarter results. Thank you very much.
Operator: